Operator: Welcome to Sunoco LP's Fourth Quarter Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Scott Grischow, Director of Investor Relations and Treasury for Sunoco LP. Thank you, Mr. Grischow, you may now begin. 
Scott Grischow: Thank you. Before we begin our prepared remarks, I have a few of the usual items to cover. A reminder that today's call will contain forward-looking statements. These statements are based on management's beliefs, expectations and assumptions. They may include comments regarding the Company's objectives, targets, plans, strategies, costs and anticipated capital expenditures. They are subject to the risks and uncertainties that could cause the actual results to differ materially as described more fully in the Company's filings with the SEC. During today's call we will also discuss certain non-GAAP financial measures, including adjusted EBITDA and distributable cash flow. Please refer to this quarter's news release for a reconciliation of each financial measure. Also, a reminder that the information reported on this call speaks only to the Company's view as of today, February 23, 2017. So time-sensitive information may no longer be accurate at the time of any replay. You will find information on the replay in this quarter's earnings release. On the call with me this morning are Bob Owens, Sunoco LP's President and Chief Executive Officer, Tom Miller, Chief Financial Officer and other members of the management team. I would now like to turn the call over to Bob. 
Bob Owens: Thanks, Scott, Good morning everyone and thank you for joining us. This morning we will review the financial and operating results of the fourth quarter, along with other recent accomplishments. Before I get into my comments on the quarter, I would like to briefly recap 2016 which was really a transformative year for the partnership. We began the year with the completion of the final drop-down from Energy Transfer Partners late in the first quarter. Shortly thereafter, we announced the opening of our corporate headquarters in Dallas, Texas which consolidated our corporate infrastructure close to that of our parent, ETE. Integration efforts also continued to be a focus in 2016, as we consolidated offices, people and systems across the Company. And while these efforts did increase our expense structure during 2016, we're confident these figures will decrease in 2017 as synergies and benefits from the 2016 consolidation initiatives come online. Tuck-in acquisition activity also continued in 2016 with the addition of both retail store locations and new dealer and distributors under the Sunoco umbrella. In fact, I was able to meet many of our new partners earlier this month when we hosted over 1,000 people, including a number of our top wholesale customers, at our biannual dealer and distributor meeting. Turnout was strong and appreciated and this bodes well for future growth in our wholesales channels. Now turning to the partnership's results for the fourth quarter of 2016. The partnership recorded a net loss of $585.2 million during the fourth quarter compared to net income of $16.5 million a year ago due to impairment charges that were recorded. Tom will cover this in more detail in the financial results later in the call. Total adjusted EBITDA for Q4 decreased approximately $35 million year over year to $153.6 million. Distributable cash flow attributable to the partners was $62.6 million compared to $90.1 million in Q4 of 2015. Our distribution for the fourth quarter remains unchanged from the third quarter at $82.$0.55 per unit. This distribution was a 3% increase from the fourth quarter of 2015 and resulted in a 0.61 times coverage ratio for the fourth quarter and a 0.98 times coverage ratio on a trailing 12-month basis. While sub 1 coverage is not something we want to manage to over the long term, we're comfortable keeping our coverage below 1 for short periods of time. The fourth and first quarters are seasonally our weakest quarters, during which we expect some downward pressure on the ratio. Further weak margins can effective this metric in any given quarter. We will manage to a 1 to a 1.1 times ratio over the long term. Now, looking at operational performance. Total fuel volumes increased by 6.6%, to 2 billion gallons. Retail gallons increased by 6.1 million gallons year over year or 1%, to 626 million gallons, driven by third-party acquisitions and new to industry locations opened during the last 12 months, primarily in Texas. Wholesale gallons increased 9.5% to 1.4 billion gallons as a result of acquisitions, including the fuels business from Emerge and Denny Oil, as well as growth in unbranded fuel sales. The rising commodity environment this quarter resulted in pressure on our fuel margins. Both RBOB and WTI declined 9% and 18% respectively in the fourth quarter of 2015. However in the fourth quarter of 2016, while we saw RBOB and WTI fall early in October into November, that reversed to quickly rebound from that loss in December. Both commodities ended the quarter up 11. As a result, total weighted average cents per gallon margin declined to $0.143 versus $0.157 a year ago. Margins in our retail business were $0.257 compared to $0.278 in Q4 of 2015 and margins in our wholesale business were $0.09 even compared to $0.096 a year ago. Merchandise sales increased $21 million year over year to $565.8 million, this as a result of market share gains in packaged beverage and beer sales and stores acquired or built during the last 12 months. Merchandise gross profit percentage slightly decreased from a year ago by 1.2 percentage points to 30%. The principal driver of this decrease was merchandising promotions unveiled during the quarter. While this merchandising gross profit percentage is below prior quarters, we see it returning to levels we reported -- we have reported previously. Turning to same-store results. Same-store gallons declined by 1.9% while same-store merchandise sales were essentially flat as a result of merchandising strength in the East Coast operations partially offset by continued weakness in Texas, primarily in the oil-producing regions. Excluding the results from those oil-producing regions, same-store fuel gallons decreased 1.7% while same-store merchandise sales were positive at 0.7%. The oil-producing regions are beginning to show some improvement and are performing much better than recent quarters when we experienced same-store margin sales and same-store gallons percentage declines in the low to mid-teens. Now SUN is not alone in this regard, as other retailers and restaurants in particular have reported similar declines in these affected markets. As a reminder, we have approximately 140 retail stores in the oil-producing regions of Texas. About 75% of these locations are in the Permian basin, while the remainder are largely in the Eagle Ford. Since May of 2016 we have seen some positive leading indicators which I'll list for you. First, WTI has stayed above $50 a barrel since December which is very constructive and as a result, we've seen rig counts steadily increased by over 100% in the Permian since a low point of 134 rigs in May of 2016 to 303 as of last Friday. In addition at SUN we're encouraged by the activity we've seen in our Sunoco Energy Services business which delivers fuel to the skid banks and rigs in the field. Gallons sold in this business have more than doubled since the second quarter of 2016. However to be clear, despite these positively leading indicators, efficiency and automation have decreased the number of workers needed for rig and drilling support activity. Simply put, companies have learned to do more with less. Moving a little further south to our Texas/Mexico border locations, during the third quarter earnings call I said that we were seeing some underperformance in these locations due to a weak peso to dollar exchange rate which was exacerbated by the November election results and subsequent rhetoric regarding Mexico and integration. I noted that we would continue to watch the market dynamics in this region very closely. I'd like to provide an update on what we're seeing. After closely watching and analyzing the South Texas markets, we've determined a few dozen of our sites are directly impacted by various macro economic factors that I ticked off. These sites -- essentially these are sites that you can either see from the border or otherwise quickly encounter or get to when you cross the border and sales at those locations are down. Moving onto growth and acquisition activity. In October we closed on the previously announced Denny Oil acquisition which comprised of six Company convenience stores along with fuel supply contracts with approximately 127 wholesale dealers and 500 commercial customers in Eastern Texas and Louisiana. We completed three other third-party acquisitions in 2016. In the third quarter SUN acquired the fuels business from Emerge Energy Services LP which was a step into storage on the mainland U.S. for the partnership. In the second quarter we acquired retail and wholesale assets from Kolkhorst Petroleum in Texas and retail assets from Valentine Stores Inc in upstate New York. These four transactions total approximately $335 million and added 38 Company operated locations and over 300 million gallons annually. As a quick update, we've been very happy with the performance of the fuels business we acquired from Emerge. The Hydrotreater in the Dallas area facility has been up and running well for a few months now and we're expecting the Hydrotreater at the Birmingham facility to be operational by the beginning of the second quarter. Now, the new process units are in place and are currently being connected. Having these Hydrotreaters in the portfolio enables us to produce ULSD, ultra-low sulfur diesel, was key to stabilize and increase earnings of this business over time. SUN is currently in the process of rebuilding and outfitting locations along the Indiana Toll Road. We're very excited to unveil the Sunoco Diamond in our A-plus offering at these heavily traveled road locations. I think as most of you know, Sunoco has a large presence on a number of turnpikes and toll roads including the New York Throughway, the New Jersey Turnpike, the Atlantic City Expressway, the Garden State Parkway, the PA Turnpike, the Ohio Turnpike and locations along I-95 in Delaware and Maryland. We're excited to continue this expansion westward through the State of Indiana. You now can drive from New York to Chicago and be served by Sunoco plazas the entire route. In late January Sunoco announced that it retained NRC, National Realty and Capital Advisors, to assist with the strategic alternatives for approximately 100 real estate assets. This real estate sale encompasses active retail locations, dealer operated locations, closed sites, undeveloped Greenfield, as well as some miscellaneous real estate property. Proceeds from this initiative are expected to pay down debt and as it is still very early in the process, we're not disclosing expected proceeds at this time. We will be evaluating all bids before divesting any sites and while it's early the initial interest level looks promising. Finally, earlier this week we announced that Sunoco Ultratech, a high detergent fuel blend, will be available to customers starting on April 1 across all grades of gasoline at every single Sunoco branded stations across the country. This new fuel offering will meet the specifications of top-tier gasoline program which was developed by key automakers to ensure engines are kept clean and in compliance with tighter vehicle emissions and engine durability requirements. Now before I turn the call over to Tom who will discuss the financial highlights for the quarter, I encourage everyone on the call to tune in this Sunday to the 59th running of the Daytona 500 where Sunoco will again serve as the official fuel for the 40-car field. We're entering our 14th year as the official fuel of NASCAR and during that time we have supplied 1,300 races with more than 7 million miles run. But most importantly, we have accomplished that with zero defects throughout that tenure. This position provides a great halo for our consumer branded sales efforts. I'd now like to hand it off to Tom. 
Tom Miller: Thanks Bob and good morning everyone. Before I get into the financial results for the fourth quarter, let me address the issue on most of your minds, leverage and distribution coverage ratios and how we're going to attack the issues. In December we announced amendments to both our credit facility and term loan. The amendment increases the leverage covenant to 6.75 times beginning in the fourth quarter of 2016 through year-end 2017. At that point the leverage covenant steps down a quarter turn each quarter until the covenant reaches 5.5 times in the first quarter of 2019. The amendment also adds two new financial covenants. A senior secured leverage which is set at 3.75 times beginning in the fourth quarter of 2016 and continues through year-end 2017 with a step down to 3.5 times starting in the first quarter 2018. This covenant falls away upon repayment of our term loan. The other new covenant is a fixed charge coverage ratio set at 2.25 times starting in the fourth quarter of 2016. This financial covenant falls away once the total leverage falls below 5.5 times. Roughly 90% of our lending group approved the amendment. We put the amendment in place to allow the partnership additional time and flexibility to pursue our deleveraging initiatives. For the fourth quarter we reported a leverage ratio of 6.5 times, up from the revised third quarter number of 6.18 times. The drivers were a fourth quarter increase in debt of approximately $40 million to fund growth capital and the Denny acquisition, partially offset by ATM proceeds and $35 million lower year-over-year EBITDA. Our quarterly distribution coverage was 0.61, driven by lower quarter-over quarter EBITDA and a $27 million delta in cash taxes. Both leverage and coverage have moved the wrong way in recent quarters. We remain committed to lower leverage below 5 times over the near term. I would like to outline several self-help initiatives to help us delever. A Companywide focus on expense reduction, both G&A and operating expense. We have targeted $75 million in 2017. Continue to utilize our $400 million ATM program. Third, drive additional EBITDA from our 100-plus new to industry sites open since 2014 and our recent acquisitions. Fourth, use our real estate auction proceeds for debt repayment. Five, cut down -- cut 2017 growth capital growth expenditures by nearly half from where it has been in prior years. And six, reduce maintenance capital to a level lower than our current 2017 estimate of $90 million. These initiatives combined with the elimination of relocation expense will help reduce leverage and increase our coverage ratio. On a collective basis they still do not get us our long term goal. Let's be clear, leverage and coverage have management's full attention and focus. We will consider and evaluate all options, nothing is off the table. That said, we're not in a position to announce anything at this time, nor will we comment further during the Q&A. We hope to be able to come back to you with a path forward soon. Let's move to the partnership's liquidity position, cost of debt and equity capital market activity. Total debt as of December 31 was $4.6 billion which includes $1 billion drawn under our revolving credit facility. We also had $31 million in standby letters of credit, leaving $469 million on the credit facility. Our weighted average cost of debt at the end of this year was 4.8%. The first debt maturity is 30 months away, September 2019. We're comfortable with our maturity profile and continue to look for the right opportunity to term out our term loan A, the balance of which is just over $1.2 billion. During the fourth quarter we issued approximately 2.8 million units under our ATM program With net proceeds of $71 million that was used to reduce our credit facility balance. During the first quarter of this year we issued an additional 356,000 units, bringing in $10.5 billion. Moving onto the fourth quarter, revenue increased $4.1 billion in the fourth quarter to $4.3 billion this past quarter which was the result of growth in wholesale and retail fuel gallons sold and higher merchandise sales. This was partly offset by $0.01 per gallon decrease in the average selling price of fuel. Gross profit increased by $97 million or 20.9%, to $562 million. This increase in retail and wholesale motor fuels profits come from an increase in total gallons sold. Our other operating expense increased $11 million from last year's $267 million. This primarily reflect increases in maintenance expense and property taxes as a result of more retail stores in our portfolio. G&A also increased year over year by $17.9 million to $67 million, reflecting higher salaries and insurance costs, as well as roughly $7 million of higher expense from our recent acquisitions. Relocation costs for the quarter totaled $3 million and are largely now behind us. Cost containment is a key focal point for the management team. The expansion of our business over the last couple of years resulted in higher G&A and operating expense. As an example of this, SUN had $18 million of relocation-related costs in 2016 which we do not expect to continue in 2017 and another $9 million of acquisition costs. We're implementing a cost reduction initiative to reduce expenses and capture acquisition synergies going forward. Net loss in the quarter was $585 million versus net income of $16.5 million a year ago. This net loss in the fourth quarter was driven by impairment charges to both intangible assets and goodwill totaling $674 million. $642 million of the write-down was related to a goodwill impairment charge to our retail reporting unit. This was the result of changes in our organizational and capital structure following the completion of the drop-down transactions from ETP and reduced planned new to industry sites. The remaining $32 million was related to an intangible asset impairment for the Laredo Taco Company trade name and stemmed from fewer planned new to industry sites and declining sales volume in oil-producing region. The write-down on goodwill and intangible assets does not impact adjusted EBITDA or DCF. As Bob noted at the beginning of the call, adjusted EBITDA for the fourth quarter decreased to $35 million from a year ago to $154 million. This decrease is primarily related to lower year-over-year margins in both retail and wholesale businesses. Turning next to the fourth quarter retail segment operation, adjusted EBITDA from our retail segment was $77 million, a 27.7% decrease from a year ago. This primarily reflects weaker fuel margins and decreased merchandise margins. Retail margins averaged $0.257 per gallon compared to $0.278 per gallon. Over the long term we expect retail margins it to be in the $0.23 to $0.25 range, even though we will have quarterly results above or below this range. SUN retail merchandising gross profit was $169 million, flat to a year ago. Turning to the wholesale business for the quarter, adjusted EBITDA was $77 million, down 7% from a year ago. The wholesale margin on these downs was $0.09 versus $0.096 per gallon a year ago. Turning to full-year 2016 financials, revenue at SUN decreased from $18.5 billion in full year 2015 to $15.7 billion in 2016 which was the result of a $0.41 gallon decrease in the average selling price of fuel. Gross profit increased by 11.8% to $2.2 billion reflecting an increase in wholesale motor fuel gross profit and merchandise gross profit. Net loss in 2016 was $407 million versus net income of $194 million a year ago, principally driven by the impairment charges we discussed earlier. Adjusted EBITDA attributable to partners decreased by 7% to $665 million in 2016. Distributable cash flow to partners increased from $272 million in 2015 to $390 million in 2016. Looking at full-year operational metrics, total retail gallons increased by 29 million gallons to 2.5 billion gallons. For the full year, SUN earned a retail cents per gallon of $0.24 versus $0.264 cents in 2015. Merchandise sales increased 4.3% to $2.3 billion in 2016, while the margin dollars on these sales increased to 5.3% -- increased up to $715 million which equates to a 31.5% margin. Total wholesale gallons increased by $134 million -- excuse me, 134 million gallons to 5.3 billion gallons. Wholesale CPG was $0.098 versus $0.094 in 2015. I would like to conclude my comments by reviewing SUN's fourth quarter and full-year 2016 capital expenditure program, as well as our guidance for the 2017 capital program. In the fourth quarter we spent $148 million in capital which consisted of $115 million in growth capital expenditures and $33 million in maintenance capital. During the quarter we opened 14 sites, giving us a 28 new sites opened in 2016. An additional 10 sites opened after January 1. The majority of the capital for these 10 sites was spent during 2016. The vast majority of our new to industry sites are in the Houston and San Antonio Metropolitan areas. We also opened new sites in Louisiana, South Carolina, Metropolitan Nashville and one location at the Dulles Airport in Virginia. 34 of these sites have a Laredo Taco and the remainder have a lats and grill. For the full year SUN invested $332 million in growth capital and $106 million for maintenance capital. In 2017 we expect to spend approximately $200 million on growth capital and approximately $90 million on maintenance capital. Growth capital spending includes one additional NTI, as well as rebuilding locations we now operate on the Indiana Toll Road. Operator, that concludes our prepared remarks. You may now open the line for questions. 
Operator: [Operator Instructions]. Our first question is from Andrew Burd of JPMorgan. Please go ahead.
Andrew Burd: Regarding the sites that you selected for sale, do you anticipate that all together that they'll fetch proceeds that represent a higher multiple on EBITDA then where SUN units are currently valued in the market? 
Bob Owens: Yes Andrew, this is Bob. Certainly that's the case or we wouldn't be selling them. 
Andrew Burd: Okay, great. Then how many of the roughly 100 sites are in operation now versus just real estate or in the land bank? 
Tom Miller: Active sites are around 75% to 80%, I believe. 
Bob Owens: Yes. I think Scott can get back to you with a specific number. I haven't looked at the list recently andrew, but I think it's about 75 of the 100. 
Andrew Burd: Yes, just a ballpark estimate is close enough. 
Tom Miller: 75, 78. 
Andrew Burd: Great. Then looking at EBITDA for the year, if I just take your year-end debt that you reported in the press release and divide it by 6.5 times leverage, I get to a little over $700 million. And acknowledging there's probably some rounding in there, how should we reconcile that $700 million to the lower full-year number? Is this just assigning pro forma credit for acquisitions or is there something else or am I just not thinking about it correctly? 
Tom Miller: No, you are thinking about it correctly. There is the acquisition adjustment. There is also the expense adjustment for financing costs. 
Andrew Burd: Okay, great. So that might be a better run rate number for the full year than the reported number? 
Tom Miller: At this point, yes. 
Andrew Burd: Okay. 
Tom Miller: Obviously the merger acquisition numbers will roll off over time. 
Andrew Burd: Sure. Great. And then last question, clarification on the growth CapEx budget for 2017. Would you be able to break off the portion that's currently earmarked for the Indiana Tollway and the Hawaii initiatives versus normal course NTI or normal course growth CapEx? 
Tom Miller: I haven't really thought about it that way. I would think that the one NTI plus the Indiana Toll Roads which are big sites which will cost a little bit more and Hawaii, you're probably looking somewhere around a quarter of the $200 million that we've talked about. 
Andrew Burd: Okay, that's helpful. And then last follow-up, back to the divestiture plan for the 100 sites. Can you just elaborate a little bit more on the opportunity to sell those locations and then sign the customers up to a dealer distributor agreements and kind of in general how that process might work? Any clarity there would be helpful. That's my last question. Thank you. 
Bob Owens: Yes. Well, I'll start with, we're pretty early in the process here. We've done this, though, a number of times. What we do is we have a bid process, Bids are due, I think next week, towards the end of next week and then we sit down and evaluate those. Our history is that as we've gone through this process over the last decade, we wind up with in excess of 95% of the volume moving from retail over to wholesale. And I expect that we will see similar kind of results this time. 
Operator: Our next question is from John Edwards of Credit Suisse. Please go ahead. 
John Edwards: Yes, good morning. Thanks for taking my question. Just kind of following up on divestitures. Is one of the other things that you might be looking at is instead of outright sale of sites but sort of partial sales of sites? Then also kind of looking through the list of the sites that you are putting up for sale, would you describe those as more non-core locations or just how we should think about some of these different things and options? 
Bob Owens: Well, I guess I'll start with, I'm not sure what you mean by partial sale. The way we look at it, I guess, a partial sale could be a class of trade change from a company to a dealer. We, as a part of our ongoing business, take a look at each of our sites and make a decision where we think our partnership will earn the best return and move them between Company op and dealer or from dealer to Company op. So I'm not sure what you mean there. If you mean sale leaseback, we have looked at that in the past and haven't concluded that was materially helpful. Then with respect to how we pick the locations in terms of core, non-core, we do economic analysis on each of the properties where we have a real estate investment, whether they are a dealer operation or a Company operation. We take a look at the cash flow associated with it and we compare that to market value of the real estate. And if, in fact, we can get a higher return by selling the real estate, we do that. As I've answered with Andrew, our history has been that we've been successful, not only pulling back in the capital associated with the real estate investment, but having success at signing them up, generally with the distributors and having continued cash flow from the wholesale fuel that's sold. We generally get a 15-year supply contract with sites that we sell. And that's our objective this time as well. 
John Edwards: All right. That's helpful. And then, I'm curious, I mean, it looked like the merchandise margins this quarter, they came in about 200 basis points or so below average or -- was that a mix issue in the merchandise margins? I mean, any -- it was just kind of curious to us because that looked like it was a big contributor to at least the EBITDA numbering coming in below what we were estimating. So any insight there would be helpful. 
Bob Owens: You bet. Well, I guess as we said in the remarks, it was driven by promotional activity primarily. To give you a little more color around that, we'd opened a number of new sites. We did some promotions, primarily in the restaurant side of our business in an effort to drive sales. We increased the amount of inventory that we had for sale. When you do that, you wind up with higher shrink and spoilage numbers which we did see. Quarter in, quarter out, depending upon where the quarter hits, rebates come in or out. And it was a combination of kind of all those factors which took a run rate north of 31%, kind of in the 31.5% down for this quarter down to the 30%. We don't think this is -- there certainly not any step change here; in fact, it's kind of the opposite. I'm more optimistic about our capture of margins going forward. 
John Edwards: Okay, that's helpful. And just to follow up that, were there any particular regions that received more promotional activity then others? Was it targeted or was it completely across the business? 
Bob Owens: It was -- the biggest driver was across the business in the restaurant area, no geographic specific area. 
John Edwards: Okay. And then, do you think the promotional activity was effective? Then to what extent will the promotional activity continue? 
Bob Owens: Well, the promotional activity is over. We certainly hope the promotional activity it was effective. I can tell you that, for example, the new test sites we opened on the East Coast, we did see increases in sales there and are pleased with the way they are tracking in our core business. We get a lot of noise, particularly in Texas. All restaurant sales are under pressure and while our sales are down versus prior year, our sales are holding up better than the averages reported by competitors in the state. So to that degree, I think yes, we're successful or have been successful, holding customer accounts, holding sales. I think that the activity in Q4 reinforced that and we're hopeful that we don't have continued need for this type of activity on an ongoing basis. 
John Edwards: Okay. Okay, I'm just trying to gauge what would be, then, the trigger or the benchmark you look at for deciding whether to have to resume promotional activity. How should we think about that? 
Bob Owens: Well, John, we watch customer accounts. We watch merchandise sales. We have added additional technology into all of our convenience stores and watch item level specific sales on an ongoing basis and we make decisions based on optimizing gross profit dollars both in the short term and the long term. So the trigger for anything additional would be competitive activity that takes place in an area, sales results in a certain geography. I can't tell you that we won't be running promotions in the future. What I can tell you is that we will strive to optimize gross profit dollars going forward and we're confident that we're both growing the business and merchandise and in restaurant sales and working to increase margins over time. 
John Edwards: Okay, that's helpful. Then final one is just in terms of your perception with regard to market share in your various areas and I guess it sort of relates to the promotion, do you think you were able to hold onto share, actually grow share? Or do think the promotional -- how do you think about that? 
Bob Owens: But so I'll break it down between fuel and merchandise. We watch fuel sales all the time and we're making pricing decisions multiple times a day. As we look at specific geography, our best feel is that we're optimizing gross profit dollars there and we're holding market share across our geographies. Where you see some significant same-store sales declines, primarily in the Texas area, that is a reflection of employment and economic activity in those geographies. And I don't see evidence that tells me we've ceded market share there in any appreciable way. From the standpoint of, then, merchandise, similarly I think actually we've grown some market share there. We've seen success in the Northeast which we pointed to. Texas has been challenged, but again, while we see same-store sales declines driven largely in the oil-producing areas, compared to others in the geography we feel we're holding market share. From a restaurant standpoint, I would say that we have grown market share, exclusive again of the oil-producing areas. But when I look at Texas in total, whether it's sales tax receipts, whether it's restaurant associations reporting sales results, whether it's looking at analysis provided to us by the consumer goods companies that give us their statistics by geography, if anything we're slightly gaining market share and we've not ceded market share. 
John Edwards: Okay. That's great. Just with the turnaround and the pick-up in drilling activity and the obviously large increase in rig deployments, how are you seeing that being reflected in your activities in Texas now? 
Bob Owens: Yes. I'll tell you, I think that it's peoples -- we'll see how long memories are and we'll see where crude oil prices go, but my view is that the activity we saw previously where as crude oil had walked up significantly and people were throwing all resources at drilling activity, particularly in the Permian but also in the Eagle Ford, I think with the reset, it is -- with the reset in terms of crude oil pricing in at least our view that we're going to trade in a band, I think those days are over. I think we'll see increased rig counts but they will be done with significantly fewer people. Just to kind of level set here, while rig counts are up significantly, as we pointed out earlier, given that rig count of over 300 last Friday, still down 60%-some and the guys that are drilling are doing it with lots more automation and a lot fewer employees. I think that's the reality of what we're dealing with. The last point I'll make on this, John, is while from a same-store sales basis versus the height of activity when we had literally lines out the door, guys in coveralls and with muddy boots fueling up white pickup trucks or smaller commercial vehicles. While we've seen decreased activity there, these sites are still some of our most profitable locations and they are still highly productive. So same-store sales are down, but we're making good money on those sites. 
Operator: Our next question is from Ben Brownlow of Raymond James. Please go ahead.
Ben Brownlow: On the expected OpEx reduction for 2017, that $75 million, I guess around $27 million is not lapping the relocation and M&A transaction expenses, but can you give some additional detail around how you're going to deliver that, just a split between G&A site level? The second part of the question is, do you feel like all the opportunity's been identified at this point to reduce the OpEx or do you think there's possibly some greater reductions as you work through the year? 
Tom Miller: I think the answer to your question is, yes, we believe we have a path to the $75 million. If you just compare the absolute total of OpEx to G&A, there's obviously more room in the OpEx. But we do have a path to that, but quite frankly we're going to keep working harder on increasing it, increasing the reduction. 
Bob Owens: Yes, this is Bob. I'll just tell you that if you look at us in total, right, we're a Company that has grown both quickly and we grew through acquisitions. And as you do that, we identify our expected synergies each time we pull the trigger on one of those and we delivered on those, but the delivery has come largely as a result of supply chain economics. What has been stickier has been getting at expense and the driver there has been largely around systems work, complicated by moving headquarters to Dallas which caused additional expenses. We've got that largely behind us. We now have the benefit of consolidated employee group and headquarters here in Dallas. We have systems work that's ongoing. We're now all on the same instance of a single platform for all of our Company operated locations. We've installed new software on our wholesale supply and trading businesses and we're working all the bugs out of those things. I think that each of those will give us opportunities to extract more cost in 2017 and then beyond. This is an area of intense focus in 2017. As I said in my remarks, we came through 2016 completing the drop-down, getting the move behind us. We thought hard when we cut capital for 2017 and we've identified this as a year to really tighten up across all measures in the Company. 
Operator: Our next question is from Theresa Chen of Barclays. Please go ahead.
Theresa Chen: My first question is related it to RINs. Bob, one of your competitors on the C-Corp side recently made the comment that the fluctuations of RIN prices are more or less baked into the refining margins and that ultimately everything is passed onto the end user. It seems a bit surprising and counterintuitive, given that the entire refining industry has been up in arms about the issue and documenting vocally the detriment to their businesses while RIN prices are high. I'd love to get your perspective on this. Broadly based on what you've seen in your business, how much of the change in RIN prices do think is actually passed on? 
Bob Owens: I've said in the past, Theresa, that I agree with whoever made that comment. And as somebody who has dealt with RINs as a refiner and now as a marketer, I think when you look at the cracks, you see RINs reflected. The independent refiners have been quite vocal about this, but my view is it's impossible to completely quantify it but if you look at our margins and you look over a decade when RINs were $0.02 or $0.03, so on a 10% blended basis, $0.002 to $0.003 per gallon, then you look at it when RINs were $1.48 so arguably $0.148 or $0.15 a gallon. Surprisingly or not surprising to me, our retail margins have stayed within a very tight band. So we're not in favor of changing who the obligated party is. I think the market isn't 100% efficient. I'm happy that we're a blender and a grader of RINs, but it's, as you started your question, I agreed that it's mostly all passed through to the end consumer. 
Theresa Chen: Okay. Turning to GP support. Tom, I appreciate your candidness about all options being on the table. Can you just possibly provide additional color on the comments made during your parent's call? What do you think needs to happen fundamentally at your business before your parent would consider stepping in? 
Tom Miller: Well, I was there for a portion of that call and then came down, we're on a different floor. Our conversations with Energy Transfer continue to be positive and supportive. We're working our way through all the changes I described with -- in terms of Ben's question previously. We have lots of options on the table that we're looking at from a self-help standpoint and unfortunately we're not in a position to give any additional color on that. But I think that's what was referred to by Kelcy's comment. 
Operator: Our next question is from Sharon Lui of Wells Fargo. Please go ahead.
Sharon Lui: Just trying to follow up on the question about your CapEx program. I think you indicated that a quarter of the spending is related to the NTIs and also the rebuild of the locations. Just wondering what the other spending is related to? And with regards to the rebuild of locations, what type of returns do typically earn on those types of projects? 
Tom Miller: All right. Let's answer the easy one. We normally see mid-teens type returns on those kind of investment. What's outside of the other is when we sign up a new customer for going to a dealer or distributor, we have to provide incentives, rebranding, et cetera. It doesn't sound like capital but it is treated as capital in the -- and we do focus on getting new customers and in building them into the model. 
Bob Owens: Into the system. 
Tom Miller: Yes. 
Sharon Lui: Okay. So it sounds like none of the costs could be deferred in terms of those types of projects? 
Tom Miller: Those types of projects we don't want to defer, you're correct. I think going down to one NTI this year certainly allowed us to defer it. 
Sharon Lui: Okay. I guess in terms of thinking about the proceeds that you could raise in the process, if you have, I guess, 100 locations and ballpark it's about $5 million to develop the cost. And if you make a mid-teens return on that, is that the way the math should work in terms of potentially fetching close to $750 million of potential proceeds? 
Bob Owens: Are you asking, is it -- will we get $750 million for 100 sites? 
Sharon Lui: Well, just thinking about potentially what the max? If you have 100 sites and it costs $5 million to build and let's just say you make -- . 
Bob Owens: Correct. Well, understand that first off it's too early for us to estimate what the proceeds will be, but it will be significantly less than that. These are sites that are not our highest and best retail sites, right? These are sites that we've selected that will be very good income producing opportunities for a dealer or for a distributor, but they are not the kind of sites that would be reflective of something we've just recently completed. 
Operator: Our next question is from Chris Sighinolfi of Jefferies. Please go ahead.
Chris Sighinolfi: Top, was Just curious, obviously had some tax expense in the fourth quarter. I was wondering if you could help us think about how that might take shape over the course of 2017 or in future periods, what the NOL balance is right now and any guidance you could provide would be helpful. 
Tom Miller: Morning, Chris. I think you should probably look at taxes over the entire year. So we had a $15 million good guy last quarter. We have a $12 billion bad guy, but for the year we essentially paid no taxes. We'll see variations as we do true-ups and over the -- throughout the year but I was still point you to a very low tax rate. 
Chris Sighinolfi: Okay. So pretty muted for 2017, at least what you guys are expecting? 
Tom Miller: Yes. 
Chris Sighinolfi: Okay. Then also was just curious, would you touch back on margin expectations? Bob, I think you said for retail $0.23 to $0.25. Just curious, any updated views on wholesale margins going forward? And then if you could offer any color on 1Q to date, there's obviously been some movement in the crude market and then the gasoline crack. 
Bob Owens: Yes. I think the range we've given on the retail side is a good one to stick with in terms of your forward look. We have been outperforming the range on wholesale. Here recently there've been a number of factors that have driven that geography, different classes of trade included in that kind of mix and we'll take a look at that. We haven't moved the guidance up on wholesale to date, Chris, but I think it's a fair question that we owe that as our mix has -- it's changed pretty significantly. With respect to the first quarter, we've seen a fair amount of movement in terms of retail prices as a result of commodity prices underneath. What I would tell you is that we're not seeing anything different in the first quarter than we've seen relative to what happens when commodity prices changes. We're not seeing any difference this quarter than in times past. 
Chris Sighinolfi: Okay. I guess final one, if I could slip another question in, is just with regard to, Tom, you had outlined a bunch of actions meant to cut costs and generate cash and help delever. Appreciate all the color on that. You also mentioned that might be insufficient to hit the target, so sort of everything beyond that remains on the table. I appreciate your comment about not wanting to delve too much into detail on what that might mean, so want to be respectful of that. But just trying to figure out, what is the decision tree, I guess, we should expect from you guys as you evaluate what those options are? I am assuming all options are inclusive of your distribution too? How do we think about how you'll evaluate the steps beyond those you outlined? 
Bob Owens: Carefully. 
Tom Miller: Certainly to be a little flippant here, we're going to evaluate it carefully. But it comes down to the metrics we started off the discussion with which is leverage. We certainly don't want to be running leverage anywhere close to where we want. We want to get down below 5 and the coverage ratio is also at 0.61 or 1 for the year. We want to improve upon that. So as you're looking at about how to get that, those will be the criteria we look at going forward. 
Bob Owens: This is Bob. Look, I think we're frustrating people and have been for a while. I guess the message we'd like you to take away is that this has our full attention. This is not something we're just talking about. We're deeply searching through the best path for the partnership in total and it's our hope that we will have something to announce here before too much longer. But we're just not in a position to give additional detail at this point. 
Operator: Our next question is from Robert Balsamo of FBR. Please go ahead.
Robert Balsamo: My question is on looking forward 2017, you've given good color on margins in retail and wholesale and some expectations on operating costs improvement. Could you talk a little bit about volumes and how you think about volumes on a normalized year kind of on a run rate, given there's been some accusations during the year and it's going to be thoughts versus 2016 full-year results? 
Bob Owens: Yes. Well, I think I'll start with this. My view is that demand is essentially flat. That the positive factors around the improved economy, improved employment which drive total miles driven, the lower fuel prices which have influenced consumers' buying behavior more toward SUVs and light trucks than cars that get better mileage, but that's all largely offset by cafe standards and the fact that an SUV may use more gasoline than a Prius but an SUV today gets a lot better mileage than an SUV did 5 or 10 years ago. So all those factors coupled with the length of time that people own their vehicles, currently 11 to 12 years average, argue for pretty good stability. Our view is that our base volume will -- and we budget for it to be flat. Then we add in the acquisitions and we give details as we do those acquisitions in terms of what the volumes are. As Tom mentioned when we do a raise and rebuild, we will get a -- we've experienced kind of mid-teens returns. Those returns are driven by increases in both fuel volume and ancillary volume, whether it's restaurant and/or merchandise or just merchandise, depending on the facility. But that's how I would answer the question on volume, assume it's going to be flat. 
Robert Balsamo: Okay, that's helpful. I hate to beat a dead horse. You made some -- there were some comments just now about potentially the actions to reduce leverage and timing might be -- there might be some announcements in the short term. Can you maybe elaborate on what you mean by what timing is expected as far as updates or are going to wait to see some of the operating expense improvements and margin improvement kind of play out throughout the year before a decision is made? 
Bob Owens: I didn't say and I'm not going to say when there will be an announcement. We'll have an announcement when we got something to announce. Again, I'm not trying to be flippant. What I -- the other part of your question, though, this is not a situation where we're waiting to see how we do in terms of the actions we're taking around expenses. We're working this hard and it's not conditioned on any outcomes there. 
Operator: [Operator Instructions]. Our next question is from Patrick Wang of Robert W. Baird. Please go ahead. 
Patrick Wang: So we've covered the oil patch and border location headwinds, but beyond these and looking at the first quarter, can you comment around fuel trends you are seeing at your stores versus what we've been hearing from the EIA around just that muted fuel demand entering the year? Are we seeing anything outside of the typical seasonal moves here? 
Bob Owens: Our numbers reflect what you're seeing elsewhere. We're off to a slow start on fuel demand as reflected by the reports and we're seeing that in our geography as well, particularly in the Northeast. Some of its weather driven. Some of it is associated with, I think, economic activity in the Northeast. But we're seeing the same thing. 
Patrick Wang: Okay, thanks for the color there. Then moving over, so it seems like the Emerge fuel business is continuing to ramp up nicely. Can you help us size up how it much that business contributed to your 4Q numbers? And is, call it the 24-month ramp outlook, is that still intact? 
Bob Owens: Yes, I think it was $7 million-ish numbers in Q4 and we're pleased with this acquisition. As I said in my remarks, we've got the Hydrotreater being plumbed up and wired up. The units have been set and are in place. We're looking to get that thing onstream here shortly by the end of this quarter and online into the second quarter. That will be somewhat helpful. But I think, Scott, we've given people sort of the $25 million-ish -- . 
Scott Grischow: Yes, $25 million. 
Bob Owens: $25 million-ish is our expectation annually. 
Patrick Wang: Okay. Got you. 
Bob Owens: We hope to exceed that. 
Patrick Wang: Got you, okay. Then the last one from me is, can you just remind us what are your ATM program expectations? Do you still expect to pretty much utilize that by year end? 
Tom Miller: We're going to continue to hit the ATM and we have not given the timing. You've got a feeling for how much we used it in the fourth quarter and so far this quarter we'll look and see how the market's doing. We're not going to get too cute in trying to time it. But it will be -- it's easier to trade on a day like today when there's volume which by the way we can't do. But we'll keep looking at it and see what opportunities there are. 
Operator: At this time I would like to turn the conference back over to management for any closing remarks. 
Bob Owens: Thanks very much, everybody, for taking time to join us this morning. We appreciate the continued support. This concludes our remarks and this will end the call. Thanks very much. 